Operator: Good day, and welcome to the Bel Fuse Inc. Fourth Quarter and Full Year 2021 Results Conference Call. Today's conference is being recorded. And at this time, I'd like to turn the conference over to Jean Young from Three Part Advisors. Please go ahead, sir.
Jean Young: Thank you, Emma, and good morning everyone. Before we begin, I'd like to remind everyone that this conference contains certain forward looking statements regarding the company's expected operating and financial performance with future periods. These statements are based on with company's current expectations. Actual results for future periods may differ materially from those expressed or implied by these forward looking statements due to number of risks and other factors. Additional information about factors that could potentially impact our financial results is included in yesterday's press release and just discussed in our filings with the Securities and Exchange Commission, including our most recent annual report on Form 10k and our subsequent quarterly reports and other filings with the SEC from time-to-time. We may also discuss non-GAAP results during this call. And reconciliations of our GAAP results to non-GAAP results have been included in our press release. Our press release and our SEC filings are all available at the IR Section of our website. Joining us on the call today is Dan Bernstein, President and CEO, Farouq Tuweiq, CFO, and Lynn Hutkin, Director of Financial Reporting. Now, I'd like to turn the call over to Dan.
Dan Bernstein : Thank you, Jean, and all of you for joining our call today. Our team at Bel has performed extremely well. In these challenging times they have embraced our efforts to improve the company. I would like to thank every associate for their hard-working dedication to Bel for enabling us to have one of our best quarters in recent memory. We achieved our fourth quarters of strong year-over-year sales growth with new record highs in both quarterly bookings and in our backlog of orders at quarter end. This increase in demand is across each of our three product groups and the majority of our end markets. Our backlog remains at an all-time high, totaling $468 million at December 31. In 2021, we launched 1800 new standard part numbers into the channel. This will bode well for us for our future growth. Our acquisition of RMS and EOS completed last year are fully integrated and have contributed to Bel's bottom line through combined net earnings of $1.9 million in 2021. CUI acquired in late 2019 continues to be a strong performer with sales growth of 29% from 2020 to 2021. On the cost side, we continue to navigate direct and indirect supply chain challenges and included those related to raw material, logistics, labor availability, retention and overall inflation. Last year, we completed our four-year ERP conversion project, combining five systems into one. We have transitioned from a functional use of the system to data analytics and now have better visibility on margins by SQU. Although still in the early stages of adaptation, this data has quickly become the foundation of our day-to-day business decisions on how best to allocate our sales engineering and manufacturing resources. Overall, we invested $7 million in the ERP conversion and have recognized an annual cost savings of $2 million. With our legacy systems now fully integrated, we will utilize our internal resources to market our recent acquisitions onto the new system as well. Last quarter, we appointed Jackie Brito to our board and she is provided to be a very valuable addition. As with many companies Bel has been challenged with associate retention and job satisfaction. With Jackie's strong background in human resource development, she's been tasked with doing a cultural assessment of the company and to identify areas for improvement. This assessment is completed and we are implementing the recommendations to enhance the associate's experience at Bel. And furthering our commitment to becoming a Bel corporate citizen, we then implemented two new programs in 2022 around community engagement, charitable contributions align with our values. Associates will now be provided with time paid off to volunteer within the communities and Bel will be donating about and matching contributions to local charitable organizations of choice. I'm very proud of the progress we made throughout the company and we will continue on our journey in 2022 to make sure Bel is the best it can be for our associates stakeholders and customers and companies in which we work in. I would like now to turn the call over to Lynn for the financial update.
Lynn Hutkin: Thank you, Dan. As Dan mentioned Q4 was very strong with year-over-year growth seen across each of our product groups. Overall, fourth quarter sales were $147 million, an increase of 27% from fourth quarter of 2020. Gross margin for the quarter increased to 26.7% as compared to 25.3% a year prior. By product group, power solutions and protection sales were $58.7 million, up 12% from last year's fourth quarter. The largest contributing factor to power sales growth during the quarter related to our 2021 acquisition of EOS, which generated sales of $4.6 million in the fourth quarter. Other notable growth came from sales of our circuit protection products, which were up $2 million or 46% from Q4, 2020. And sales through our CUI business and into the e-mobility and market also remained strong in the fourth quarter. These areas of growth were offset in part by a $1.5 million decline in our custom modules product line, which we continue to exit that low margin business. Future year-over-year variances related to this exit should be minimal going forward. Gross margin for this group was 30.9% for the fourth quarter, a 320 basis point improvement from Q4 2020, driven by a favorable shift and product mix. Our power solutions and protection group finished the year with a healthy book-to-bill ratio of 1.7 and a robust backlog of orders of $240 million, an increase of 270% from the 2020 year end. Turning to our connectivity solutions group, sales were $43.6 million, an increase of 27% from last year's fourth quarter. With the continued rebound of commercial aerospace and market, which improved by $3 million or 140% from last year's fourth quarter. To provide some context on where we are in the ramp and commercial aerospace, sales into that end market were $30 million in 2018. They were as low as $12 million in 2020 and increased to just under $18 million in 2021. Fourth quarter bookings and commercial aerospace were $7.7 million, which was equivalent to the full year of 2020 bookings for that end market. Sales of connectivity products through our higher margin distribution channels remain strong for the fourth quarter, reflecting a 46% increase from last year's fourth quarter. Military sales continued to be challenged this past quarter resulting in a 24% decrease in the defense and market. Gross margin for this group came in at 23.7% for the fourth quarter of 2021, up slightly from the fourth quarter of 2020.  The connectivity solutions group closed out the year with a book-to-bill ratio of 1.2 and a backlog of orders of 85 million, an increase of 79% from the 2020 year end. Lastly, our magnetic solutions group had Q4 sales of $44.8 million, up 52% from last year's fourth quarter led by higher demand for our integrated connector modules that are used in next generation switching applications. Gross margin for this group declined to 22.9% for the fourth quarter from 23.3% a year prior. These products are primarily manufactured in China where wage rates have increased and margins have been further impacted by the unfavorable shift and exchange rate of the Chinese Renminbi versus the U.S. dollar. We've estimated a 50 basis point impact on fourth quarter 2021 margin related to FX alone Our Magnetic Solutions group finished the year with a book-to-bill ratio of 1.6 and $143 million of orders, which are largely scheduled to ship in 2022. This represents a 233% increase in backlog since the 2020 year end. Our selling, general and administrative expenses were $21.9 million or 14.9% of sales, up $2.3 million from a dollar perspective from the fourth quarter, but down as a percentage of sales. Of the dollar increase $1.4 million related to the inclusion of SG&A expenses for EOS, which was acquired in March of 2021. Turning to balance sheet and cash flow items. We ended the year with a cash balance of $61.8 million, a reduction of $23.2 million from the 2020 year-end balance. Our working capital increased by $24.3 million from December 31, 2020. We saw a $13 million increase in our accounts receivable balance due to sales growth experienced during the second half of 2021 versus the same period of 2020 Our DSO improved slightly from 57 days at December 31, 2020 to 54 days at December 31, 2021. Inventories increased by $34 million as we have been purchasing a higher volume of raw materials to accommodate the increase in demand from our customers. This in turn resulted in a similar increase in our accounts receivable balance since December 2020. In addition to changes in working capital other items impacting cash flows for the year included net payments of approximately $17 million for acquisitions, capital expenditures of $9.4 million, debt payments of $4.3 million, dividend payments of $3.4 million and interest payments of $2.1 million. We also received $7.3 million in proceeds from the sale of properties during 2021. I'll now turn the call over to Farouq for items that we see impacting us in 2022.
Farouq Tuweiq : Thanks Lynn. Good morning everyone. There are a few items that I wanted to touch upon as we focus and look out towards 2022. With regard to pricing, we continue to monitor the impact of supply chain concerns, raw material sourcing and the overall cost of doing business to ensure we're responding in an appropriate and effective manner. As of today, we have implemented another round of price increases that started in late fourth quarter of 2021 and continue through Q1 this year. Furthermore, we have implemented various price processes and procedures that will allow us to react to the dynamic market in a more expeditious and targeted manner. Looking at 2022, first quarter margins have historically had downward pressure due to production and efficiencies related to Chinese New Year. That said, we do expect to see favorable impact of our initiatives as we progress throughout the year. On the supply chain side, our best estimate at this stage is that shipping logistics and procurement of raw materials will all remain a challenge throughout 2022 as it seems as if it's a little bit of a new norm. This will remain a key area and focus for our sourcing team and various other teams around the world. We're also keeping a close eye on all things COVID [ph] at the local operating levels given we are exposed to a number of regulations in the various countries which we operate in. As Lynn mentioned earlier, our financials are impacted each year with fluctuations and foreign exchange rates, Particularly the Chinese Renminbi and Mexican peso. as those are the currencies in which a large percentage of our labor is paid. This past year, we meaningfully expanded our ForEx hedging program to mitigate financial impact related to these currencies, as well as initiating for a first time a interest rate swap. On the interest rate swap, we moved roughly $60 million from being variable rate to fixed. That is our view that interest rates will climb over the term of the revolver. And as a reminder we put this in place in Q4 and with some of the things that we saw from the messaging coming out of the federal reserve. We think this will suit us well. While these are simple programs, the idea here is to really minimize operational variability and provide us with better visibility into pricing and operations and take a couple of variables or minimize the impact there as well. On the M&A side, the market has really seen aggressive valuations in the recent history, and we expect that to be the same in the near term representing a challenge for us. With that said, we are continuously on the hunt for new opportunities and as things come our way that makes sense we will act upon it. As Dan stated, we're focused on and committed to demonstrable margin improvement across the business, and are taking a targeted approach with appropriate sequence. We're examining various aspects of our business down to the skew level and up to our operational footprint. As we embark on these initiatives, we do expect to incur some upfront one-time investment. We will be sharing more details as things develop in the coming quarters. Please keep in mind, this will be an ongoing process with the lands of stronger company. With that, I'll turn over to Dan. Dan?
Dan Bernstein: Thank you. Emmer, can you please open up the call for questions.
Operator: Certainly. Thank you. [Operator Instructions] We'll take our first question now from Theodore O'Neill from Litchfield Hills Research. Please go ahead.
Theodore O'Neill: Thank you and congratulations on the good quarter. Question for you. Given what's happening in Ukraine, I just have to ask about your operations in Slovakia. If you're seeing any impact there? And are you planning for logistics issues either in that area or in the operations in nearby?
Dan Bernstein: I think we do have operations in the Czech Republic and Slovakia. And throughout Eastern Europe and central, there's a tremendous concern of what's going to happen. At this point, I think we're roughly about 350 miles from the border. It is a concern. However at this time we are keeping a watchful eye on it. And it is a concern mostly for the people and their families in the area and the uncertainty that it brings to everybody.
Theodore O'Neill: And we're seeing some companies that are redesigning products to use components from multiple sources. And I'm wondering if that's impacting you at all?
Dan Bernstein: I think everybody realize in the past started with SARS and now with COVID that you can't be overly dependent on one country or one source. So everybody I think throughout our industry are trying to get a minimum of two to three sources. However, we're doing the same thing, trying to diversify, A, our production where we're getting parts from. And then B, having multiple sources from different locations. But it has been a slower process than what we would like.
Theodore O'Neill: Okay. Thank you very much.
Operator: Thank you. [Operator Instructions] We'll now go to our next question now from Hendi Susanto from Gabelli Funds.
Hendi Susanto: Good morning, Dan, Farouq and Lynn.
Dan Bernstein: Good morning.
Hendi Susanto: Thank you for the information on the commercial aerospace. So, Dan, in terms of backlog, any data point that can help us to somewhat like forecast our expectation for commercial aerospace sales in 2022?
Dan Bernstein: When it comes to forecasting and those questions, I'm going to pass it on to Farouq or Lynn. Who would want to grab that one?
Farouq Tuweiq: Yes. So indeed the question is specifically on how much commercial aero backlog we're sitting on right now?
Hendi Susanto: Yes. Revenue-wise and then the pace of the recovery in commercial aerospace?
Farouq Tuweiq: Got it. And Lynn, can feel free to jump in here, but from maybe just to kind of recap what was said so in 2018 commercial aerospace. We had roughly $30 million of sales, And in 2020, it went all the way down to 12. And in 2021 we're back up to 18. So, we're still off from that 30 mark in 2018. The other thing I would say, this is obviously legacy Bel numbers now with RMS. The equation has changed a little bit. So we do expect that to be north of there. But the ramp is pretty steep. It's taking a lot of time from the connectivity folks perspective. But we don't -- I don't know, Lynn, if you have a number on that handy.
Lynn Hutkin: Yes. I don't have a backlog number. But to give you some perspective. So, sales into commercial aerospace, and these are -- this wouldn't include anything through distribution. But it was -- as I mentioned, just under $18 million for 2021. From a bookings perspective, it was just about $20.5 million of bookings that were received in 2021 and Q4 bookings was $7.7 million, which definitely indicates that we are on an increased path here. I do not have the bookings or what is scheduled to ship specific to that end market. But I think we do continue to see growth there.
Dan Bernstein: No. I think we can say, based on the readings that we've done in commercial aerospace, that we think things will get back to the pre-COVID level not this year, but in 2023, it should be back to pre-COVID level of commercial aerospace building.
Hendi Susanto: That's very helpful. And then, Farouq, given the -- let's say like a strong demonstration of gross margin improve. Like how you manage like gross margin in this part of supply chain constraint? Any qualitative guidance that you can share with gross margin expectation for 2023 [ph]?
Farouq Tuweiq: Yes. So, you're right. It is a challenge because in addition to just regular way business there's a lot of option geopolitical issues and supply chain issues and all this kind of stuff, so resume a challenge. But to Dan's earlier comment and now one of the nice things of having an ERP system is we're able to identify down to the SKU level and part number where the issue is, so we can be targeted. And we've introduced some processes internally where we can identify it earlier and address it on the front end. So the idea is more being proactive. We've also put in various procedures where things get out of hand down the road we'll be able to address it. So it's really about our ability to pass things on. And we're also taking another strategic look on where we think can take a market share and/or lean into some of our higher margins business. As we look out to 2022, obviously from the challenge do continue with the inflationary pressures, we're addressing a lot of these things. And I'd say we are addressing them and should be fully addressed assuming that what [ph] holds in Q1 here. So coming out of Q1 we should have put things in place that will stabilize and lead us to something a little bit better. As we look out specifically to maybe Q1, we do expect to be ahead of last year Q1. And obviously Q4 was a very high great quarter for us. So, and Q1 is historically a little bit weaker for us. So we'll be somewhere between last year Q1 and where we are in Q4 on the margin side. Obviously, as we'd also said, it's really -- we're trying to up the gross margin. And I think we'll see some of the benefits of that throughout this coming year. And as we go through the year we'll be sharing a little bit more specifics on what's being done on that front.
Dan Bernstein: But just to add a little bit more color to that. Historically, when we quote a customer, it's 90 days. We would never change pricing on backlog. Quotes would be firm for 30 days. All our customers have received a letter stating based on the current conditions if the -- our raw materials change quickly we will have to change our pricing and coding at the same time and we have to change backlog. So historically, we could have orders on the books for six months seeing a price increase and not be able to make a change. Now we can make any -- for any backlog order we have the ability to change an order within 30 days and any open quote we have the ability to change immediately. So again, a much more proactive approach and then, and moving a lot quicker than we have in the past to deal with the changing environment we're living in today.
Hendi Susanto: That sounds very positive, Dan. Thank you. And then my last question is on the e-mobility. Any particular geography and market?
Dan Bernstein: Lynn? I think maybe Lynn can go over the backlog. Are you allowed to discuss the backlog, Lynn? No, no. But I think just from an overall standpoint from a marketplace we really focus on our niche markets, not a hive for our power group which is a driving force in EV. So we look at smaller companies, retrofitting vans, retrofitting trucks, not for GM or those type of companies. However, when it comes to our circuit protection group, because it's not as -- the pricing is not as aggressive. We service all EV vehicles with our circuit protection group and we have seen some nice growth through there in those markets. Lynn, you want to just follow up with EV?
Lynn Hutkin : Yes, sure. So I can share that. So sales within our EV market did go up by over $6 million from 2020. So we are starting to see some continued growth there. It's always been a relatively small dollar amount, but we're starting to see the pickup there. And from a booking's perspective, bookings increased by $47 million from 2020 to 2021 in this end market. And a lot of that I think is related to North America, European e-mobility applications that Dan mentioned.
Farouq Tuweiq: Sorry, it's concentrating in north America and European and then China market is not a big portion of that.
Dan Bernstein: Not from the palace side but from the circuit protection side.
Hendi Susanto: I see. Okay. Thank you. Thank you so much. And then all the best for 2022.
Operator: Thank you. As we have no further questions at this time, I'd like to turn the conference back to your management team for any additional or closing remarks.
Dan Bernstein: I'd just like to thank everybody for joining our call today. We appreciate your time and looking forward to reporting in April.
Operator: Thank you. This will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.